Operator: Good day, ladies and gentlemen. Welcome to the Big 5 Sporting Goods Fourth Quarter 2021 Earnings Results Conference Call. Today's call is being recorded. With us today are Mr. Steve Miller, President and Chief Executive Officer and Mr. Barry Emerson, Chief Financial Officer of Big 5 Sporting Goods. At this time for opening remarks and introductions, I'd like to turn the conference over to Mr. Miller. Please go ahead, sir.
Steven Miller: Thank you, operator. Good afternoon, everyone. Welcome to our 2021 fourth quarter conference call. Today, we will review our financial results for the fourth quarter of fiscal 2021, as well as provide an outlook for the first quarter. I will now turn the call over to Barry to read our Safe Harbor statement.
Barry Emerson: Thanks Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans, and prospects constitute forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our annual reports on Form 10-K, our quarterly reports on Form 10-Q, and our other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time-to-time by us or on our behalf.
Steven Miller: Thank you, Barry. We finished 2021 with a strong fourth quarter performance delivering our second consecutive record year of sales and earnings for Big 5 Sporting Goods. These results over the course of the year were driven by a combination of top line sales growth, merchandise margin expansion, and significant operating leverage. The earnings and cash flow we have generated over the course of the last two years have enhanced our capital structure highlighted by our debt free financial condition with substantial cash reserves. With that balance sheet strength, we have the flexibility to return more than $69 million of capital back to shareholders through dividends and stock repurchases in fiscal 2021. Capital allocation in delivering value to shareholders has been a long-term priority for our company. And today, we announced a new stock repurchase authorization of $25 million. Now, I'll take a moment to review the results of our fourth quarter. I should note at the outset that due to our fiscal calendar our 2021 fourth and full year each included one less week than in fiscal 2020. Net sales for the 13-week fiscal 2021 fourth quarter were $273.4 million compared to net sales of $290.6 million for the 14-week fiscal 2020 fourth quarter. Same-store sales increased 0.2% for the fourth quarter of fiscal 2021 versus a comparable period in the fourth quarter of fiscal 2020. Given how abnormal the last two years have been, we think it provides relevant context to also evaluate our results relative to pre-pandemic periods. On that basis, compared to the pre-pandemic 2019 fourth quarter, same-store sales increased 10.6%. Looking at the rollout of the quarter. Our monthly sales were mixed throughout the period. October sales were slightly up versus 2020 and up mid-teens versus 2019. In November, sales were down in the high single digits versus 2020 and down in the low single digits versus 2019. The softest in November was primarily due to unseasonably warm weather conditions coupled with supply chain disruptions that inhibited our ability to fully capitalize on the key Black Friday period. In December, sales were up mid single digits versus 2020 and up mid-teens versus 2019. We saw particular strength over the last couple weeks of the year when very favorable winter weather finally arrived in our markets and drove sales of winter-related products. From a product category standpoint, during the fourth quarter, we continued to see relative strength in our apparel and footwear categories, which were both up double-digits compared to the prior year when both categories have been negatively impacted by pandemic related factors. Hard goods was down low double-digits versus 2020, but I should note that in 2020 hard goods was up nearly 40% versus 2019 driven by pandemic related demand for products such as home fitness and outdoor recreation. Expansion of our merchandise margins has been a major driver of our bottom line growth. Our merchandise margins were trending positively prior to the pandemic and that positive trending continued throughout the pandemic and in the fourth quarter. For the period, merchandise margins increased 194 basis points compared to the fourth quarter of 2020 and increased 437 basis points versus the fourth quarter of fiscal 2019. And to provide even more historical context, our Q4 margins in 2020 were up over 600 basis points versus Q4 of 2018. This margin expansion has been driven in part by an evolution of our promotional strategy that was in play prior to the pandemic, and certainly accelerated over the course of the pandemic. Historically, our model revolved around print advertising that focused on product-by-product price driven promotions, typically on a weekly basis. As we reduced our print advertising, we have opened up more flexibility in our purchasing and pricing, which has benefited our product mix and margins not to mention significantly reduced our advertising expense. With our solid sales, strong margin performance and improved cost structure, we delivered very healthy fourth quarter EPS of $0.89, which punctuated a record setting year with full year EPS of $4.55. Adjusted EBITDA was $31.5 million for the fourth quarter and $152 million for the full year. Turning now to current trends. In this year's first quarter to date, although most categories are performing well against pre-pandemic periods, our same-store sales were down roughly 12% compared to the record results of last year's first quarter when we recorded a same-store sales increase of 31.8%. Last year in the first quarter, our sales benefited from strong COVID-related demand and favorable winter weather in our market. In January of year, sales were down approximately 20% as we faced a number of headwinds, including unseasonably warm and dry winter weather in our markets, the impact of the Omicron surge and ongoing supply chain issues. Our trends improved in February with same-store sales slightly up as Omicron impacts ease and last week for the first time this calendar year, we finally had the benefit of a shot of favorable winter weather in our key markets. As we look ahead towards March, we are facing very challenging comps against last year when sales benefited greatly as COVID restrictions eased, and there was a resumption of in-person schooling and sports leagues, along with the distribution of stimulus checks. I'll now turn it over to Barry to provide additional details regarding our fourth quarter performance and first quarter outlook.
Barry Emerson: Thanks, Steve. Just to clarify from a more historical context, our Q4 margins in 2021 were up over 600 basis points versus Q4 of 2018. First, let me take a moment to expand on the year-over-year fiscal calendar differences that Steve noted at the onset. Our fourth quarter of fiscal 2021 included 13 weeks, while our fourth quarter of fiscal 2020 included 14 weeks. Similarly, for the full year, our fiscal 2021 included 52 weeks and our fiscal 2020 included 53 weeks. However, same-store sales comparisons for the fourth quarter are reported on a comparable 13-week basis, and for the full year are reported on a comparable 52-week basis. Net sales for the 13-week fiscal 2021 fourth quarter were $273.4 million versus net sales of $290.6 million for the 14-week fiscal 2020 fourth quarter and comparing to a pre-pandemic period increased from $244.1 million for the fourth quarter of fiscal 2019. same-store sales increased 0.2% for the fourth quarter of fiscal 2021 versus the comparable period in fiscal 2020 and increased 10.6% versus the comparable period in fiscal 2019. Gross profit for the fiscal 2021 fourth quarter was $103 million compared to $102.4 million in the fourth quarter of the prior year. Our gross profit margin was 37.7% in the fiscal 2021 fourth quarter versus 35.2% in the fourth quarter of last year and versus 31.6% in the fourth quarter of 2019. The increase in gross profit margin largely reflects the tremendous growth in our merchandise margins that Steve spoke to along with lower distribution costs, including cost capitalized into inventory as a percentage of net sales, partially offset by the favorable impact from an insurance settlement in the prior year period. Overall selling and administrative expense increased $1.8 million in the fiscal 2021 fourth quarter versus last year, primarily due to increase store related costs along with higher advertising expense, which remains substantially below pre-pandemic levels. The prior year period also benefited from the favorable impact of an insurance settlement. As a percent of sales SG&A was 27.9% in the fiscal 2021 fourth quarter versus 25.6% in the fiscal 2020 fourth quarter. While SG&A expense as a percent of sales increased versus the prior year when compared to the pre-pandemic fourth quarter of fiscal 2019, our fourth quarter 2021 expense percentage improved by approximately 300 basis points. Now looking at our bottom line. Net income for the fourth quarter of fiscal 2021 was $19.9 million or $0.89 per diluted share. This compares to net income of $21 million or $0.95 per diluted share in the fourth quarter of fiscal 2020 which included a previously reported benefit of $0.12 per diluted share. Briefly reviewing our 52 weeks fiscal 2021 full year results, net sales were a record $1.16 billion compared to net sales of $1.04 billion for the 53 weeks fiscal 2020 full year. Same-store sales increase 13.9% for the fiscal 2021 full year versus the comparable period in fiscal 2020 and increase 17.5% compared to fiscal 2019. Net income for fiscal 2021 full year was a record $102.4 million or $4.55 per diluted share, which compares to net income for the fiscal 2020 full year of $55.9 million or $2.58 per diluted share, including a previously reported benefit of $0.25 per diluted share. Adjusted EBITDA continues to be very healthy. We generated $31.5 million for the fourth quarter of fiscal 2021 and $152 million for the fiscal 2021 full year. Turning to the balance sheet. Our merchandise inventory at the end of fiscal 2021 was up 7.1% compared to the prior year and down 13.4% compared to the end of our fiscal 2019 period. Throughout 2021, our inventory levels were generally a little lower then we would've liked, as industry-wide supply chain disruptions made it difficult to keep up with elevated demand. However, one benefit of our reduction in print advertising is that we are now able to operate with less inventory than we have historically carried. We will continue to manage through the supply chain issues. And although, there are areas where we certainly wish we had more inventory, we believe our assortment is generally well-positioned for spring. Our inventory is very fresh and we are operating with considerably less clearance inventory than we have historically. Looking at our capital spending. Our CapEx, excluding non-cash acquisitions, totaled $10.9 million for the fiscal 2021 full year. During the fourth quarter, we opened new stores in Glenwood Springs, Colorado; Tucson, Arizona; Irvine, California; and Fullerton, California of which the latter two were relocations of stores that closed in the quarter. For the full year, we opened five new stores and closed four stores, including the two relocations, bringing us to a year-end store count of 431 stores. For the fiscal 2022 full year, we expect CapEx in the range of $15 million to $20 million, primarily representing investments in store related remodeling, new stores, distribution center, equipment, and computer hardware and software purchases. During fiscal 2022, the company expects to open approximately six stores and close approximately two stores. Now looking at our cash flow. The combination of sales growth, merchandise margin expansion, and improved cost structure allowed us to generate substantial operating cash flow of $115.5 million in the fiscal 2021 full year. This compares to positive operating cash flow of $148.7 million in the prior year period. The year-over-year decreased in cash flow, primarily reflects increased funding of merchandise inventory. Our strong operating results for the year continued to enhance our balance sheet and financial flexibility. We ended fiscal 2021 with zero borrowings under our credit facility and a cash balance of $97.4 million, which compares to zero borrowings and $64.7 million of cash at the end of fiscal 2020. This represents a $32.7 million improvement in our cash position over the course of fiscal 2021 during which time we return to stockholders over $69 million in value through a combination of regular and special cash dividends, as well as share repurchases. We have a long history of returning capital to shareholders, and we are pleased that the momentum of our business has provided the financial flexibility to deliver this value. To that end, the company's Board of Directors has authorized a new share repurchase program for the purchase of up to $25 million of the company's common stock. This program replaces our previous share repurchase program under which $7.7 million remained available for repurchases. Additionally, today we announced that our Board of Directors declared a quarterly cash dividend of $0.25 per share. Now, I'll spend a minute on our guidance for the fiscal 2022 first quarter. For the first quarter, we expect same-store sales to decrease in the range of 10% to 13%, with earnings per diluted share in the range of $0.30 to $0.40. While guidance expectations are lower than the prior year's record first quarter results, our guidance range reflects first quarter earnings that would be near or above any pre-pandemic first quarter earnings in our history. Now, I'll turn it back to Steve for some additional remarks.
Steven Miller: Thanks Barry. Our last seven quarters have been the seven most profitable quarters in our company's history. While we have set the bar high and without a doubt, we and others in the retail sector will continue to face many challenges related to the pandemic, including supply constraints and staffing issues, we have a proven track record of successfully adapting to challenges and are confident in our ability to continue to thrive in this dynamic environment. We are a stronger company with an improved operating model and are well-positioned to continue to drive healthy bottom line results. The strength of our company is the strength of our team. And I want to take this opportunity to acknowledge and thank our Big 5 team for the phenomenal manner in which they have stepped up and dealt with the many challenges that the pandemic has presented. Clearly, our record results could not have been without the team's tremendous commitment, dedication and outstanding efforts. That concludes our prepared remark. Operator, we are now ready for any questions.
Operator: We'll now begin the question-and-answer session.  The first question comes from Mark Smith with Lake Street Capital Markets. Please go ahead.
Mark Smith: Hi, guys. First off, just wanted to dig into gross profit margins a little bit. Can you walk through kind of what's implied in your guidance here as we look at Q1?
Steven Miller: Well, as we look at Q1 in terms of our overall margins …
Barry Emerson: Merchandise margins as well as then the other -- merchandise margins.
Steven Miller: Okay. Let me take a shot at -- the merchandise margins, which I mentioned, they've been a big driver of our results. And what's expanded them. It's been multiple factors. Our model change that I talked about away from print advertising, that's provided us increased pricing flexibility. We now have product and price driven promotions. We still have the product and price driven promotions, but now we're more digitally involved in our marketing, which gives us shorter lead times. Our pricing is more responsive to demand, allowing us to be more flexible in our product mix and able to buy in smaller lots and tailor our promotions war to specific geographies. In terms of the implication for -- in our first quarter margins, Barry?
Barry Emerson: Yeah. Mark -- and included, obviously, is you got merchandise margins, which is number one, and then you've got occupancy and distribution costs. And so, we -- you've heard us talk about the labor pressure, et cetera, that we're seeing, certainly in the distribution area, we're not a little -- it seems like all retailers are dealing with this. So, we have pressure on the labor front, just getting resources, et cetera. And so, we don't expect to leverage our distribution costs in the first quarter. So, that -- there's some pressure there.
Mark Smith: That's fair. And I wanted to ask, and I know that you just kind of give the quarterly guidance, but as we think about the remainder of the year, how should we be thinking about merchandise margins. I assume that some of these pressures that you feel today, labor, some of the distribution, these things will continue. But yet you guys talk about, having kind of this new model, pull in away from print advertising, things that that should help you going forward. I guess, to boil it down, big picture, as we fall into maybe a new normal, where do you think gross profit margins or merchandise margins maybe settle in? Do we move back to pre-pandemic levels? Or can you continue to run the business at elevated margin?
Steven Miller: Now, we believe that we can continue to run the business at margins like merchandise margins significantly and we believe overall, gross profit margins significantly above what they were pre-pandemic. We think the enhancements in our merchandise margins that were -- our trajectory there was not very positively prior to the pandemic. We accelerated our movement in margins over the course of the pandemic to a large part, the acceleration of the evolution of our advertising model that I've spoken to. I think there were additional factors over the pandemic, supply chain related that further added to our margin growth and will have to see how those play out. But certainly, when there's the disparity between supply and demand, that's favorable to margin at some point in time as supply meets demand, then we will reevaluate our pricing as we always have with the goal of maximizing the gross margin dollars. But our stores are cleaner from an inventory standpoint. We have less clearance products. We think there's a number of factors that will enable us to achieve margins significantly ahead of where they were pre-pandemic.
Barry Emerson: And Mark, we mentioned that our margins in Q4 were up over 600 basis points versus Q4 of 2018. So, we've got a lot of runway there. I mean, there's -- we don't -- we've got a lot of margin, so to speak, between where we were and where we ended Q4.
Mark Smith: Okay. Perfect. And then last question for me. As we look at store growth, I think, Barry, you said you expect open six this quarter -- sorry -- this year and close two. Are you guys seeing opportunities maybe for more store expansion, whether that's geographic or back fillings of markets, how do you view this maybe as we look even beyond 2022, is there an opportunity to grow the base more?
Steven Miller: Well, Mark, I mean, our store growth philosophy has been a big part of our -- what we focus on for 65 years. And I think our position there is pretty well established in terms of positive growth, but growth under control. We are looking and evaluating a number of opportunities. We slowed our growth -- really didn't open stores in 2020, the consequence of the pandemic, we stepped it up last year with opening five new stores. A couple were relocations. As we indicated, we have more on the drawing board this year, and we're continuing to evaluate a number of sites, both for in-fill and existing markets and looking for new opportunities, but generally at this point in time within the overall footprint that we occupy.
Mark Smith: Perfect. No, that's great. Maybe I'll just squeeze one more. And like seeing the new share repurchase authorization and replacing kind of the old one, given where the shares have come back to, do you expect that to be maybe more of a priority rather than special dividends as we look here near-term?
Barry Emerson: Well, Mark, we've always looked at our share repurchase opportunistically and dividends is still an important part of our thought process. But -- and, of course, we will certainly be looking at the stock, the stock price overall. And if we deem it appropriate, we will reengage. We showed that we were active certainly in the fourth quarter and earlier in the year. So, it is something that -- the $25 million is kind of a re-up of an existing program. We were at $7.7 million, so we kind of re-upped it, but it certainly gives us some more capacity and it's something we'll keep an eye on.
Mark Smith: Okay.
Steven Miller: Mark, we've always, through our long history as a public company, been very focused in returning value to our shareholders.
Mark Smith: Perfect. Thank you, guys.
Barry Emerson: Thanks Mark.
Operator: That completes our question-and-answer session. I'll now turn the call back to Mr. Miller for any closing remarks.
Steven Miller: Thank you operator, and thank you all for joining us in today's call. We appreciate your interest in Big 5 Sporting Goods, and look forward to speaking with you again after the conclusion of our first quarter.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.